Operator: Good day, everyone, and welcome to the New York Times Company Q3 2006 earnings conference call. (Operator Instructions) For opening remarks and introductions, I would like to turn conference over to Ms. Catherine Mathis. Please go ahead.
Catherine Mathis: Thank you and good morning, everyone. Welcome to our earnings conference call. We have several members of our senior management team here today to discuss our results with you. And they include Janet Robinson, our President and CEO; Len Forman, Executive Vice President and Chief Financial Officer; Scott Heekin-Canedy, President and General Manager of The New York Times; Martin Nisenholtz, who is our Senior Vice President of Digital Operations; Jim Lessersohn, Vice President of Finance and Corporate Development; Stu Stoller, Vice President of Process Engineering and Corporate Controller; and Tony Benten, our Vice President and Treasurer. Our discussion today will include forward-looking statements and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2005 10-K. Our presentation today will include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website, www.nytco.com. This conference call is being webcast and an archive will also be available on our website, as will a transcript and a version that is downloadable to an MP3 player. An audio replay will also be available and the directions for it are included in our earnings press release. We will try to conclude our conference call by noon today so that everyone can get on with their day. With that, I am going to turn the call over to Janet Robinson.
Janet Robinson: Thank you, Catherine, and good morning, everyone. This has been a very busy quarter for us. Given the challenges we face, we have been moving quickly to execute our strategy. During the third quarter, we announced a number of steps to strengthen the Company, including our plan to sell our Broadcast Media Group, which will help us focus more on our print and online properties; the sale of our investment in the Discovery Times Channel; the consolidation of our two New York-area printing facilities into one plant; and a web width reduction at The New York Times newspaper, which are part of our continued drive to reduce costs and to adapt to the changing needs of our readers. The acquisition of Baseline StudioSystems, a leading online database and research service for information on the film and television industries and Calorie-Count, a site offering weight loss tools and nutrition information that complements About.com. Both of these are part of our strategy to build out key components of our online offerings. Lastly, we introduced a significant number of innovative print and online products that we expect will generate new revenues. We believe these measures will better position our Company as we move into an increasingly digital environment. Turning now to the results of the quarter. Today we reported third quarter earnings per share of $0.10 based on GAAP compared with $0.16 in the same period a year ago. Included in our GAAP EPS is a charge of $0.03 per share for staff reductions compared with $0.05 in the third quarter of last year. The staff reduction cost of $0.03 per share was $0.01 higher than the $0.01 to $0.02 we had anticipated because some buyout expense originally expected to be recorded in the fourth quarter was included in the third quarter. We were able to accomplish our reductions sooner than anticipated. In the third quarter, we completed the sale of our investment in the Discovery Times Channel. As a result, we received $100 million in cash in October and booked a loss of $7.8 million or $0.03 per share in the third quarter. As you have heard from others, the advertising environment remained very challenging in the quarter. Advertising revenues at the News Media Group decreased approximately 5%. While advertising results vary significantly from property to property, there were some common trends. At The New York Times Media Group, where ad revenues decreased 4%, advertising was soft in studio entertainment, which saw poor holdover in box office and lackluster support for summer blockbusters. Help wanted advertising was also soft, which was true at our other Media Groups as well. These two categories in print accounted for virtually all of the decline in the advertising revenues for The Times Media Group. Strong categories included residential real estate, where advertising climbed sharply as a result of greater inventories of homes to sell. American Fashion, which continued to see advertising strength in the issues of T, The Times Sunday supplemental magazines, as well as Thursday's Style Section; and Advocacy, where proponents of various issues presented their views. Revenues benefited from new products introduced this year, such as Play, The New York Times sports magazine. Its third issue came out in September. And our new real estate magazine, Key, which debuted last month. Total revenues from these two new publications have amounted to approximately $7 million so far this year. At the International Herald Tribune, advertising revenues grew 14% in the quarter as advertising rose in a broad array of categories. The New England Media Group had a difficult quarter as it continues to grapple with a soft economic climate and consolidation among major advertisers. Advertising revenues decreased 12% in the quarter with more than half of the decline due to weaker print classified advertising. The reduction in print classified advertising revenues was roughly even across New England's major classified categories; with about a third coming from help wanted, a third from real estate, and a third from automotive. In addition, the Group continues to be affected by the loss of Filene's in the Boston marketplace, as well as consolidation in the telecommunications industry. If not for Filene's, we would have seen growth in retail advertising in the New England Media Group in the third quarter. Filene's last advertised in March of this year, so we will continue to cycle those comparisons in the fourth quarter of this year and the first quarter of 2007. Looking ahead, several significant retailers have announced plans to enter or expand in the Boston market, which we believe will benefit The Globe's advertising revenues. Two new shopping centers will enter the Boston market over the course of the next ten months. The first is in Burlington and is expected to be fully operational this quarter. The other is in Dedham, Massachusetts and is expected to open in the spring of 2007. Neiman Marcus expects to open a second store in the spring of next year and Nordstrom plans to open the first of four new stores in the fourth quarter of 2007. New products are also expected to benefit The Globe. Section front advertising was introduced in September and is yielding incremental revenues, as is the Zoned auto section. Design New England, a glossy oversized magazine focused on home and garden, launched this month and will be published six times annually. Additional niche titles are planned for introduction in 2007. As you can see in our earnings release, one area that has performed well in New England is other revenue, up 18%, which was driven mainly by commercial printing. Our Regional Media group's advertising revenues rose 1% in the quarter. Real estate advertising was particularly strong, offsetting softness in help wanted and automotive advertising. New products, such as weekly newspapers, magazines, direct marketing, and local Internet products contributed to the improvement. Other revenues increased about 4% as a result of outside printing revenues and distribution. The Company's total circulation revenues declined modestly in the quarter. On October 1, we raised the newsstand price of the northeast edition of The Sunday Times from $4.50 to $5.00, which is the same price as the National edition. We plan to increase home delivery prices by 4% on November 6. These two increases are expected to add approximately $12 million to revenue in 2007. In September, The Times introduced its new branding campaign, emphasizing the breadth and depth of our journalism, both in print and online. The campaign highlights the work of individual Times reporters and has run on television, radio, in-print and online. The tag line, “These Times Demand The Times”, was first created for the paper in the mid-1980s. The websites in our News Media Group had strong growth in advertising revenues, up 21% in the quarter, a particularly good showing given the large revenue base for this increase compared to others in our industry. Times Select, our premium subscription offering on NYTimes.com celebrated its first anniversary in September. Since its launch, it has generated $8.5 million in revenues. It continues to add subscribers, which now total more than 550,000; 65% of whom are also print subscribers and 35% are online only subscribers. In September, we added yet another benefit to the exclusive features of Times Select. It now provides subscribers free access to every article published in The Times since 1851. This has proven very popular with existing subscribers and is helping us draw new readers to Times Select. In August, we acquired Baseline StudioSystems, the primary B2B supplier of proprietary entertainment information to the film and television industries. It also has a growing syndication and licensing business that provides nonprofessional entertainment information to leading consumer-oriented websites. We are very excited about this acquisition, which underscores our strategy to pursue leadership positions in the digital space and in key content categories. It continues the diversification of our online revenue base. About.com had another very strong quarter. Total revenues grew 29% to $18 million. In the month of September, advertising revenues at About.com were up approximately 9% compared to the same month last year. Advertising revenues in September 2005 were favorably affected by an accounting adjustment for cost-per-click advertising. If we had not made that change, advertising revenues would have increased about 25% this September. In the quarter, About's advertising revenues grew approximately 28%, which is similar to the increase we are seeing in October. In the first nine months of 2006, we added 60 new guides and more are planned for the balance of the year. We are also exploring opportunities to better leverage the approximately 30% of About.com's users who come from outside the United States. As many of you know, About.com's guides are independent contractors whose compensation is based on growth and page views. We feel that this incentive-based model and the scalability of our technology platform will enable us to take advantage of the growth in Internet advertising outside the United States. As part of our strategy to strengthen About.com in key content areas, in September we acquired Calorie-Count.com, a site that offers weight loss tools and nutritional information. About.com has consistently been the second largest health channel and the fourth largest food channel on the web. Calorie-Count.com offers further opportunities to attract highly-sought advertising in the health and nutrition categories. In total, our digital businesses generated revenues of $63 million in the third quarter, accounting for 8.5% of the Company's total revenues from continuing operations, compared with 6.7% in the same quarter last year. Year-to-date, our digital businesses have generated $190 million, and we are on track to exceed $250 million by year end. In September, we announced plans to sell our Broadcast Media Group. As a result, we are now required to report it as discontinued operations. During the quarter, the Broadcast Media Group added $0.03 per share to earnings. We are committed to improving the performance of our operations through innovative new products, financial discipline on both cost and acquisitions, and redeployment of our assets. The initiatives we have undertaken this quarter are important steps toward achieving that goal. With that, let me turn the call over to Len.
Len Forman: Thanks, Janet. The Company was very disciplined on costs in the quarter. Total costs from continuing operations rose just 0.1%. Excluding those related to staff reductions, total costs rose 0.8%. The increase includes 0.4% attributable to increased compensation-related expenses and 0.3% attributable to higher distribution expense. Our focus on finding innovative ways to reduce costs is paying off and we are aggressively looking for ways to streamline our operations and improve the performance of our businesses. This year, we expect to save approximately $55 million to $60 million from our process engineering and other cost reduction efforts. That is $10 million to $15 million higher than we had anticipated at the beginning of the year. Newsprint expense declined 2.2% as a result of lower consumption, which was partially offset by higher prices. As we announced in July, the web width reduction at the New York Times will help us continue to decrease newsprint consumption. We now expect the web width reduction to be completed in the third quarter of 2007, about six months earlier than we originally planned. On an annualized basis, we expect to achieve around $12 million a year in newsprint savings from the web width reduction. As Janet mentioned, in the third quarter we announced that we planned to consolidate our New York Metro area printing into our newest facility in College Point, Queens and to sublease our older Edison, New Jersey facility. We are now able to estimate that it will cost $104 million to $128 million to close Edison. The breakdown of this estimate is as follows: $78 million to $90 million is for accelerated depreciation over the next six quarters, beginning in the fourth quarter of 2006 and ending in the first quarter of 2008; $12 million to $16 million for one-time staff reduction cash expenditures; and $14 million to $22 million for cash expenditures to restore the Edison facility to its pre-lease condition. This plan consolidation has significant savings associated with it, approximately $30 million per year. In addition, we expect to avoid the need for capital expenditures at Edison of approximately $50 million over the next ten years. We will be investing $135 million for the plant consolidation and we expect a return on investment of at least 15%, with a payback period of 5.5 years. With regard to CapEx in August, our new headquarters was converted to a leasehold condominium with the Company and our development partner acquiring ownership of their respective leasehold condominium units. Previously, the leasehold interest in the building was held by a consolidated partnership in which we held a 58% interest and our development partner held a 42% interest. As of August, the consolidated partnership no longer holds the development partner's condominium interests. As a result, its condominium units and capital expenditures are not consolidated in the Company's financial statements. Accordingly, we have revised our CapEx guidance to reflect this. In the quarter, total CapEx expenditures were approximately $90 million. Of this amount, our development partner's responsibility was about $11 million. The remaining balance of $79 million was the Company's responsibility, including $56 million for our portion of the cost of our new headquarters. We expect to move during the second quarter of next year and our capital spending on the new building will come to an end shortly thereafter. As part of our normal commitment to financial discipline, we will continue to look for ways to lower our occupancy cost. With the reduction in our staff that has taken place over the past year and by moving some departments into lower cost office space, we now believe we will be able to lease at least five floors, totaling approximately 155,000 square feet. Based on what we've heard from our broker regarding leasing rates, we expect to generate annual revenues in the $10 million to $12 million range. As you may know, the midtown Manhattan real estate market has improved significantly since we began this project. We believe that the value of our new building in today's real estate market is worth considerably more than our costs, and we are looking at ways we might monetize our investment once the building is completed in the third quarter of next year. One alternative that we are considering is to mortgage parts or all of the building. Our condominium ownership gives us a great deal of flexibility in our financing and we'll continue to look for a low-cost long-term funding that will enable us to optimize shareholder returns. The completion of our new building, along with the planned sale of the Broadcast Media Group and the sale of our investment in Discovery Times, raises the question of what we will do with the proceeds. The answer is that we will find ways to create value for our shareholders by continuing to be very disciplined in our use of cash. Our priorities are to invest in high-return capital projects that will improve operations, increase revenues, and reduce costs, as demonstrated by our New York City plant consolidation and web width reduction; to make acquisitions and investments that are both financially and strategically attractive, as shown by our acquisitions of About.com, Baseline and Calorie-Count; to reduce our debt; to provide our shareholders with a competitive dividend; and to continue to repurchase our stock. With that, we would be happy to take your questions.
Operator: Thank you. (Operator Instructions) We will go to Paul Ginocchio of Deutsche Bank Securities.
Paul Ginocchio - Deutsche Bank: I think on the last call you just talked about showing operating leverage and margin improvement. Just wondering what the revenue trends need to be to show that? When do you think you can start showing operating leverage? Thank you.
Janet Robinson: Paul, I think it has been very clear that there has been a decided effort within the last two years in particular, but even a little bit before that, that the Company has been extremely focused in regard to cost reduction to the thought that indeed we could improve margins. We are still looking at that as an extremely important goal for us, going forward. Because of the weakness in the ad environment and certainly the weakness that we have seen in the third quarter, that goal has become much more difficult for us. But we are intent on reaching that goal as soon as we possibly can. The progress we have made on the cost side, we are very proud of. But we definitely need to see more of an increase in regard to what we do in regard to the advertising, both in print and online, in order for us to reach the margin improvement that we strive to reach.
Paul Ginocchio - Deutsche Bank: Great, thank you.
Operator: We will go to Brian Shipman of UBS.
Brian Shipman - UBS: Can you please detail where you have allocated the staff reduction charges? Does it all apply to the News Media Group? Or is part of it applicable to the corporate expenses? If you could just drill down a little bit more in terms of your expectations for national advertising in the fourth quarter. Thank you.
Len Forman: Brian, this is Len. On your first question, most of that charge is in the News Media Group.
Scott Heekin-Canedy: I will address the fourth-quarter question and I will give you the broad answer. We expect to see continuing strength as we have all year in the fashion luxury categories. We expect the department stores to be strong and real estate, though it is slowing down because of difficult comps as well as the marketplace, we will expect to see continued growth in real estate. The challenge side of the equation, studio entertainment will continue to be a difficult category for us. We are up against some pretty stiff comps in October, in particular. Other national categories that have challenging comps for us include automotive. Last year the automotive industry was winding down but continuing its family and friends type discounting. We saw a lot of corporate advertising last year from Katrina and we don't expect to repeat that. So that is going to be a challenge category. Financial services experienced just incredible growth last year, in excess of 50%. We are up against comps there and banking as well. So those will be challenging categories for us in light of the trends that we have seen in the third quarter.
Operator: We will go next to Lauren Fine of Merrill Lynch.
Lauren Fine - Merrill Lynch: Thank you. A couple of quick ones. Scott, you just mentioned auto category. Are you seeing any benefit from the GM warranty program or any other positives that you can note? Then I am wondering if you can update us on the TV sale process: if you have had much interest and whether is it likely to go as a group or individual sales?
Janet Robinson: I will answer the broadcast sale, Lauren We are in the early process of this divestiture. Our banker, Goldman Sachs, expects a broad range of strategic buyers and private equity prospects. We are in the process of gathering early indications of interest. At this point, we would say that we are extremely pleased with the level of interest. It is too early to tell whether or not this will be an individual property sale or group. We are getting interest in both ways. But we will do whatever is in the best interest of our shareholders. The potential sale, needless to say, is a few months off, but we are hopeful that, indeed, we can conclude this process as quickly as possible.
Scott Heekin-Canedy: With regard to automotive, we are not particularly seeing benefit from the GM warranty program. The challenge is coming primarily from the domestics. The international automotive manufacturers are staying strong with us. We are in discussions with all of our advertisers about 2007. They are looking particularly for multimedia programs, print and online. So we think we are well-positioned to capture those dollars.
Lauren Fine - Merrill Lynch: Okay just two quick ones. Your estimate of the incremental revenues on the circulation price increases, I just want to double check you have taken into account a certain level of churn there? I know it is probably too early to give us any update on what you are seeing. Secondly, any update on the CFO search?
Scott Heekin-Canedy: The circ revenue estimates do recognize and include whatever copy losses might be associated with the price increases. Is that your question, I believe?
Lauren Fine - Merrill Lynch: It is. And if there any kind of real-time observation on how that's going?
Scott Heekin-Canedy: It takes several weeks for the returns to cycle through the system for us to be able to say definitively what the impact of a price increase is. But we do have some early field intelligence, if you will, and the early signs are that the price increase is going well.
Janet Robinson: And in regard to the CFO effort, we are in the middle that process. Heidrick & Struggles is the firm we have engaged to help with us this. And internal and external candidates are being considered.
Lauren Fine - Merrill Lynch: Great, thank you.
Janet Robinson: You are welcome.
Operator: We will go next to Alexia Quadrani of Bear Stearns.
Alexia Quadrani - Bear Stearns: Thank you. Just a couple of questions. First, on the New England marketplace. Janet, you gave us some great color of why the retail side of the business should hopefully improve in 2007. Could you talk a bit about the classified side, which has been very weak? Do you see any reason to assume any relief on that side of the business in New England? At some point, I guess if the business does stay fairly weak, would you consider divesting that property? And then I've got a follow-up.
Janet Robinson: In regard to the divestiture, you know that it is our policy not to comment on potential acquisitions and divestitures. But we constantly review our portfolio as evidenced, certainly, by our decision to divest of the Broadcast Group. But that said, we view The Globe as an extremely important aspect of our overall portfolio and we have taken great steps to improve its performance. As many of you know, we have many talented executives in key positions, some newly promoted and some new, in fact, to the New England Media Group with very proven track records. Most recently, with the retirement of Richard Gilman, we've placed Steve Ainsley, who has been President of our Regional Group, into the position of publisher of The Globe and head of the New England Media Group. He comes to The Globe with a proven track record, and I know that he is very pleased with certainly the welcome that he is getting in New England, but also the team that he has inherited. So I think that we have taken steps in regard to looking at improved performance in New England. In the classified area, they are challenged categories, there is no doubt; help wanted, real estate and automotive, as I noted earlier. That said, there is a very strong focus in regard to not only what we can do to garner more business on the agate side and the print paper but also to make Boston.com more part of a must buy in regard to our classified focus on ad revenues in New England. Michael Zimbalist is overseeing Boston.com now and has taken a very proactive role in looking at not only sales improvement there, but also improving page views and traffic to the site, which we think will have a direct correlation also to improvement in regard to revenues across the board, including classified.
Alexia Quadrani - Bear Stearns: On your online businesses with About.com, should we assume that growth rate, sort of in the high 20s that you mentioned you are seeing in September and October, including that one-time tough comps, is that a good number to assume for going forward, in terms of a longer term growth rate? On your online business aside from About.com, could you just give us a sense of what percentage of that online revenue is from the classified area?
Martin Nisenholtz: The range that you alluded to on the About business is probably a pretty good range. With respect to the percentages of classified, as you know one of the strengths of the NYTimes.com business is that it is dominated by display advertising. For this quarter of 2006, classified was only 28% of the base, which is a very, very healthy number in comparison with most newspaper companies. Now in Boston, of course, which is more typical of a metropolitan newspaper, the base is at 70%. But we know from our peers, that that is actually on the low side in some cases. So I think if you look at that NYTimes.com number, you have to be impressed by our diversity of revenues.
Alexia Quadrani - Bear Stearns: Thank you.
Operator: We will go next to Craig Huber of Lehman Brothers.
Craig Huber - Lehman Brothers: Yes, good morning. Thank you. Could you just preview the ABC September circulation numbers for your two flagship papers? Second question, movie ads. What percentage of your flagship paper advertising base comes from movies? And also, how did it perform in the quarter? Thirdly, can you just address this talk on the marketplace in recent days and weeks about the ability of your Company to buy a third party or family led?
Len Forman: With regard to the studio question, year-to-date, it is tracking at about 11% to 12% of our revenue base. And in the third quarter, it was down in the double digits.
Janet Robinson: In regard to the ABC, the fast facts are going to be out the very end of this month. And when indeed they are announced, we will be in a better position to really outline what the numbers are and also, indeed, the steps we have taken in regard to circulation generation and focus in regard to quality circulation as well. In regard to the question regarding possibility of an LBO. We have been a public company since 1969. During that time, there have been significant viscidities in the stock market. Our dual class structure provides us with the benefits of public ownership, the financial demanded of publicly traded enterprises. At the same time, the editorial independence and integrity of the New York Times is protected. Only the Ochs - Sulzberger family, which collectively owns approximately 20% of the equity of The Times Company, can change the capital structure. They have given no indications that they plan to do so.
Craig Huber - Lehman Brothers: Thank you for that. And lastly, non-newsprint for your newspaper division. What was the percent change there for cash cost, adjusting for the one-time item?
Scott Heekin-Canedy: Non-raw material cash costs were up about 0.7%.
Craig Huber - Lehman Brothers: In the newspaper division?
Scott Heekin-Canedy: For the total company which is essentially the newspaper division.
Craig Huber - Lehman Brothers: Okay. Thank you.
Operator: We will go next to Frederick Rick Searby of JP Morgan.
Frederick Searby - JP Morgan: Yes, thank you. Could you give us some idea what the tax leakage or tax rate should be on the Broadcast sale? Thank you.
Len Forman: Well we'll have a substantial gain on the sale. However, we are not in a position yet, until we know the price, to really be able to estimate that.
Frederick Searby - JP Morgan: I assume it will be close to 40%?
Len Forman: Not quite that high.
Scott Heekin-Canedy: It will be substantial because of the low basis. But it is too early to estimate, given that the structure of the deal might dictate what the tax payments look like.
Frederick Searby - JP Morgan: Great.
Scott Heekin-Canedy: And in the states that the deal gets done.
Frederick Searby - JP Morgan: Okay, thank you.
Operator: We will go next to Christa Sober Quarles at Thomas Weisel Partners.
Christa Sober Quarles - Thomas Weisel Partners: Just a couple quick ones at About. First, I was wondering whether if could highlight whether remnant display ad pricing has contracted in the fall here? The second question is just on the yield on your search text ads; if that's improving? Or is most of the revenue gains volume related? Thanks.
Len Forman: The yields on cost-per-click advertising have been actually increasing over the past several years, certainly since we bought the business. So the answer to the question is, no, the yields are not decreasing. I guess you are asking because of the large amount of inventory that is being poured on the marketplace, at this point, by --
Christa Sober Quarles - Thomas Weisel Partners: Exactly, your generated content inventory there.
Len Forman: The reason is it is an auction-based pricing system, right. So the yields are dependent upon the categories that the auctions that you are in. So if you look at the About business, it is basically in categories that are not in a lot of the categories that are being poured onto the market. So it is not a social networking or community site. It is highly verticalized. So, for example, the cost-per-click around health links would be different than the cost-per-click prices of other categories of links. Do you follow me?
Christa Sober Quarles - Thomas Weisel Partners: Yes. So just on the remnant display ad, though, is that seeing any of the increasing inventory that's out there?
Len Forman: Remnant, yes. Remnant has been softer, although the way that we handle remnant is we handle remnant through third parties at About. The special relationship that we have with some of our partners at this point, particularly our largest partner, has actually allowed us to increase the yield of our remnant inventory. So at this stage at About.com, we are actually optimizing that remnant inventory, I think in a very positive way. That's all about what I would like to say about remnant inventory.
Christa Sober Quarles - Thomas Weisel Partners: That's actually helpful, thanks.
Operator: We will go next to Steven Barlow, Prudential Equity Group.
Steven Barlow - Prudential Equity Group: Thank you. Len, can you comment on any union contracts that you have upcoming? It appears that some things were settled in Boston, recently. Related to that, how is the process of the personnel going from Edison to College Point? Are all the employees coming over, some being offered deals? I guess all the delivery is going to happen from the one central point but I don't know whether there is another mini distribution center for south of New York City.
Scott Heekin-Canedy: At least I will start on the union question. We are currently in negotiations with our mailers. They are particularly affected by the consolidation of the two plants into a single plant. Those discussions are going well. There are also aspects of the contracts that we have to discuss and negotiate with our pressman and those are under discussion. So far our discussions I would characterize as good. I am not sure how to answer your question about consolidating Edison into College Point. Obviously, the dominant portion of the staff at College Point will remain as part of that facility. There will be some people relocating from Edison to College Point, but that depends a lot on their personal circumstances and whether they are willing to relocate. Those are questions that we are not going to get into in any sort of detailed way for a good year.
Len Forman: Just a little bit more color on that. Our press release noted this morning, we built in severance costs to deal with that, and we expect the FTE savings in the consolidation. So a considerable number of those positions will go away.
Scott Heekin-Canedy: 250.
Len Forman: So the exact make-up and distribution is way too early for us to figure at this point.
Steven Barlow - Prudential Equity Group: What would be the contract dates for the mailers and pressman?
Scott Heekin-Canedy: Well the pressman, we have a contract that goes through 2018. We just have to negotiate some of the terms that are allowed for in the existing contract. With regard to the mailers, we have an open contract with them now but we expect to get to a satisfactory resolution of a new contract.
Len Forman: All the other contracts at the Times are extended well beyond 2006.
Steven Barlow - Prudential Equity Group: Anything short term on Boston?
Janet Robinson: In regard to Boston, the two conversations that are taking place right now at the bargaining table are with The Guild and with the mailers. We are in the process of talking to The Guild in regards to their acceptance of the contract, which we believe will happen some time this fall. We are at the table right now with the mailers.
Steven Barlow - Prudential Equity Group: Both of those open at this point then?
Len Forman: Yes, they have been open for a while. The Boston has been on a different cycle than the New York Times. And unfortunately, the pattern up there has been serious discussions don't begin until contracts expire.
Steven Barlow - Prudential Equity Group: All right, thanks very much.
Operator: We will go next to Lisa Monaco of Morgan Stanley.
Lisa Monaco - Morgan Stanley: Yes. Can you just elaborate a little bit on what you are seeing in October relative to the performance in September? And then just on the labor point. What percentage of your employee base is unionized? Thanks.
Janet Robinson: About half of our employee base is unionized, Lisa. In regard to October, I will let Scott give you an overview in regard to the Times. I will handle The Regionals and The Globe.
Scott Heekin-Canedy: To reiterate my comments about the fourth quarter outlook as a whole, October I think I mentioned is particularly challenging. Last year we experienced growth in October in very high single-digits. So we are up against some very difficult comps as well as seeing some continuing trends from the third quarter carrying over into October. But the categories I cited as sources of strength and challenge for the fourth quarter are definitely at play, in a significant way, in October. I would reiterate something that Janet said in her remarks. And that is that the overall performance that The Times is reflecting this year, is very much dominated by a small handful of categories. If you put aside studio, automotive, tech and recruitment, where all the other categories are showing growth in the mid to high single digits. About half of that can be explained by real estate, but the balance is from the portfolio of remaining categories. So the challenges we are seeing are primarily coming from four or five categories.
Janet Robinson: At The Globe, we are continuing to see the kind of challenges that we have had year-to-date. We are seeing discount stores, home improvement show some strength, but we are challenged, certainly, in the classified area. At The Regionals, we are seeing strength in real estate and home improvement and in home furnishings, but again there is some weakness in regards to classified and in department stores. But it will certainly be an opportunity for us to hopefully see some improvement because of some strong online activity, both at The Globe and at The Regional group.
Lisa Monaco - Morgan Stanley: Okay. Can you just remind us how much department store advertising is as a percentage of total newspaper ad revenue? Thanks.
Janet Robinson: At the Globe, it is 5%; just department stores, not full retail but just department stores.
Scott Heekin-Canedy: And at The Times, it is about 4%.
Lisa Monaco - Morgan Stanley: Okay. Thank you.
Operator: We will go next to Debra Schwartz of Credit Suisse.
Debra Schwartz - Credit Suisse: Thank you. Just a quick question on costs. You have, clearly, a lot of cost initiatives in place that came through this quarter. I was just wondering, can you give us a sense of how costs trended in Boston versus New York for the quarter?
Len Forman: Both organizations were trending down in costs. Clearly, the situation on the revenue side is more difficult in Boston. They have been taking costs out of the system in a significant way for a long period of time. But the trend has been down for both organizations.
Debra Schwartz - Credit Suisse: Len, do you have a sense of how much it was down in Boston?
Len Forman: We don't get into that level of details, ever.
Debra Schwartz - Credit Suisse: Okay. Thank you.
Janet Robinson: It is important to note, though, within the last two years with process reengineering, both at The Times and The Globe, we have taken and we expect to as the year goes on, to take about $110 million worth of costs out of the properties. This has been an effort that has been underscored by all of the leadership here at the Company, primarily in regard to our striving for margin improvement. That will continue, certainly, during this year and for many, many years to come. This year we said that we would take about $55 million to $60 million of costs out and that we seem to be on track to do just that. There also is a concerted effort on our part to look at productivity and efficiency, particularly as it relates to use of technology, which we expect to do even more of going forward.
Debra Schwartz - Credit Suisse: Great, thank you.
Operator: At this time, I will turn the conference back to Catherine Mathis for any additional remarks.
Catherine Mathis: Thank you all for participating today. If you have any other questions, please don't hesitate to call. Take care. Bye now.
Operator: That concludes today's conference call. We thank you for your participation. You may disconnect at this time.